Operator: Good morning. My name is Melissa, and I will be your conference operator today. At this time, I would like to welcome everyone to the Chesapeake Utilities Second Quarter 2013 Financial Conference Call. [Operator Instructions] Thank you. Ms. Beth Cooper, Senior Vice President and Chief Financial Officer, you may begin your conference.
Beth W. Cooper: Good morning, and welcome to the Chesapeake Utilities Second Quarter 2013 Earnings Conference Call. Before we begin, I would like to mention that we have prepared a presentation to accompany our discussion today. You can access this presentation on our website under the Investors section. It is located under the Events & Webcasts subsection. Turning to Slide 2. Before we begin, let me remind you that matters discussed in this conference call may include forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those in the forward-looking statements. Please refer to the Safe Harbor for forward-looking statements in the company's 2012 annual report on Form 10-K. The 10-K includes further information on the risks and uncertainties related to these statements. On Friday, we announced results for the second quarter and first 6 months of 2013. Results for the second quarter compared to the second quarter of 2012 are shown on Slide 3. While second quarter reported results were down slightly from the same period last year, our year-to-date results reflect both the fundamental strength of our energy businesses, as well as the hard work and continued commitment of our employees. Absent several nonrecurring adjustments for the quarter, net income for the current quarter exceeded the second quarter of 2012. The company's second quarter 2013 net income was $4.4 million or $0.45 per share. This compares to second quarter 2012 results which were $5.1 million or $0.52 per share. The decrease in earnings of $0.07 per share for the second quarter of 2013 was due primarily to a onetime sales tax expense of $759,000 related to the acquisition of assets in Maryland and $568,000 in nonrecurring gross margin recorded in the second quarter of 2012. Absent these nonrecurring adjustments, net income for the current quarter would have increased by $99,000 or $0.01 per share over the second quarter of 2012. I will highlight the key accomplishments and results for the business units during the second quarter of 2013. Detailed discussions of the changes in gross margin and operating expense by business unit for the quarter and 6 months ended June 2013 are provided in our press release and Form 10-Q, which were issued Friday. Chesapeake's Regulated Energy segment, which includes our Natural Gas Transmission and Distribution and Electric Distribution operations, generated operating income of $8.6 million in the second quarter of 2013 as shown on Slide 4. $1.1 million in additional margin from natural gas growth and $538,000 in new margin from customers obtained in the acquisition of Eastern Shore Gas, which we now serve under the name Sandpiper Energy, were more than offset by a decrease in margin of $568,000 due to a nonrecurring adjustment to gross margin in the second quarter of 2012 and $2.9 million in higher operating expenses. The higher operating expenses reflected the $759,000 onetime sales tax expense related to the Eastern Shore Gas purchase; $463,000 in operating expenses from Sandpiper; $685,000 in increased incentive bonuses primarily due to higher year-to-date performance; the timing of bonus recognition and increased participation; $395,000 in higher administrative costs to support recent growth; and finally, $301,000 in additional investments in corporate resources to aggressively pursue new opportunities to supplement growth. Mike will talk in greater detail later on in the call about these investments. Turning to Slide 5. Operating income from our Unregulated Energy segment was $447,000 for the second quarter of 2013 compared to a loss of $401,000 for the second quarter of 2012. The $848,000 improvement in operating income was driven by $1.8 million increase in gross margin, which more than offset a $954,000 increase in operating expenses. The margin growth in the second quarter of 2013 was principally due to $1.2 million margin increase from sustained retail margins in the Propane business, $475,000 in additional margins from increased sales to existing customers and $341,000 in higher margins as a result of our acquisition of Glades Gas. These margin increases were partially offset by $770,000 in lower margin from Xeron, our Wholesale Propane Marketing business, as a result of lower volatility in wholesale propane prices. The $954,000 of higher operating expenses reflect the increased cost of serving new customers from the Glades Gas acquisition and higher propane tank and vehicle maintenance costs. The Other segment is principally BravePoint, our Advanced Information Services business. For the second quarter of 2013, as shown on Slide 6, BravePoint reported operating income of $86,000, down from $351,000 in operating income in the second quarter of 2012. The decline in operating income principally reflected higher payroll and related expenses at the unit, while gross margin was largely unchanged. In 2012, we hired additional staff to meet demand, which subsequently declined due to lower IT customer spending. During 2013, these employees were deployed onto other projects and also assisted in the development of several new tools which further increased BravePoint's product and service offerings and provide new sources of future revenue. Slide 7 highlights the key variances between 2013 and 2012 second quarter results. In terms of unusual items, the onetime sales tax expense recorded on the purchase of Eastern Shore Gas that I mentioned earlier and a nonrecurring increase in gross margin in the second quarter of 2012 accounted for $803,000 in lower net income or $0.08 per share. Growth in the Natural Gas business and sustained propane margins were the most significant positive factors during the period, and were able to more than offset Xeron's decline in margin. Overall, higher margins increased net income by $925,000 or $0.09 per share. Expense increases largely offset the impact of higher margins and reduced year-over-year earnings by $837,000 or $0.09 per share. The increase in expenses was largely driven by our year-to-date success and growth as we needed to accrue for higher incentive bonuses, recognize increased depreciation asset removal and facilities cost and increase administrative staffing to support the growth in the company's energy businesses. Finally, net other changes accounted for a $0.03 per share decline in earnings for the second quarter. Moving to Slide 8. The company's net income for the first 6 months of 2013 was $19.2 million or $1.99 per share compared to net income of $15.8 million or $1.63 per share for the first 6 months of 2012. This represents an increase in EPS of $0.36 per share or approximately 22%. The increase in net income for the first 6 months was largely a result of growth in the company's Natural Gas businesses, temperatures that more closely approximated normal temperatures in the first quarter, sustained propane margins and the slightly positive impact of both the Sandpiper and Glades Gas acquisitions, which were partially offset by increased operating expenses. Reconciling 6-month earnings for 2013 to 2012, on Slide 9, you can see that unusual items added a net $1.8 million in net income or $0.18 per share. The colder, more normal weather in the first quarter of 2013 and a onetime sales tax expense recorded on the Eastern Shore Gas acquisition, were the 2 largest unusual items impacting the year-to-date results. Higher margins from the Natural Gas and Propane business added a total of $3 million or $0.32 per share to 2013 year-to-date earnings. Growth in the Natural Gas Distribution business and sustained retail propane margins offset a decline in margin contribution from Xeron. Increased operating expenses largely due to our investment in growth partially offset the impact of growth in margins. In total, operating expenses increased by $1.6 million or $0.17 per share for the first 6 months of 2013 compared to 2012 due, principally, to higher accruals for employee incentive compensation, increased administrative costs to support recent growth and additional corporate resources to support future growth. Finally, net other changes accounted for a $187,000 or $0.03 per share increase in earnings for the first 6 months. Our results for the first 6 months demonstrate the continued success we are achieving in executing our growth strategy. You can also see that we have begun to incur increased costs that are necessary to support this growth. We will continue to invest in our capacity to serve our existing customers and to position ourselves to take advantage of future opportunities to further supplement our growth in our ongoing effort to produce dependable growing returns to our shareholders. Capital expenditures for 2013 are expected to total $123.5 million, as indicated on Slide 10. This is slightly higher than the original budget of $112.3 million. As mentioned on the first quarter conference call, this capital expenditure forecast represents the largest annual capital spend in our history. The increase in forecasted capital spending in 2013 reflects the Eastern Shore Gas acquisition, various expansion projects and the investment in our Gas Reliability Infrastructure Program, we refer to as GRIP, in Florida. Over the past 5 years, the company has invested approximately $227 million to generate growth. The projects have included expansions to new service areas in Sussex County, Delaware; Worcester and Cecil County, Maryland; and Nassau County, Florida; natural gas transmission expansions to provide additional services to both new and existing customers; and several acquisitions, including Florida Public Utilities and several other smaller companies. Given the level of projected capital expenditures, we expect our depreciation expense to steadily increase through the year. Based upon June's actual depreciation and amortization expense, our current annual run rate for depreciation and amortization is over $24 million. This run rate will continue to increase as we progress to the end of the year. Through June 30, 2013, we have invested approximately $58 million of the total $123.5 million capital budget. Please note that historically, actual capital expenditures have typically lagged behind the budgeted amounts, so some spending may carry into 2014. Our management and Board of Directors are committed to maintaining a strong balance sheet. Our strong balance sheet is critical to our ability to continue to fund growth opportunities. As shown on Slide 11, common equity represented approximately 59% of total capitalization at the end of the second quarter of 2013. Capital investing activities in 2012 and year-to-date 2013 were funded by cash flow from operations and borrowings under our multiple bank lines of credit. In June 2013, we increased our bank lines of credit by $25 million to a total of $165 million to provide sufficient liquidity for our projected capital investment. We know that our short-term interest expense will steadily increase as these investments are made, and our overall interest expense will also increase once we refinance some of this short-term debt on a long-term basis. As we move forward, we believe we have access to competitively priced capital to finance our capital expenditures over the long term and maintain a solid, growing dividend to our shareholders. Earlier this year, we increased our annualized dividend by $0.08 or 5.5%, which you can see on Slide 12. Our dividend payout, based on the new rate of $1.54 per share and 2012 reported earnings, is 52%. Supported by the growth in our earnings and cash flow, we are providing superior dividend growth without driving up our payout ratio, enabling us to reinvest approximately half of our earnings to fund future growth. So while we have provided 5-year compound annual growth in the dividend of 5%, we have maintained our payout at around 50%. This has enabled us to fund the many opportunities we identify and then, transform them into continued earnings and dividend growth. Our goal is to provide shareholders with continued dividend growth, supported by the profitable growth and the opportunities we see across our business segments. Now I will turn the call over to Mike McMasters, President and Chief Executive Officer.
Michael P. McMasters: Thanks, Beth, and good morning, everyone. Before I move on, I'd like to elaborate a little further on the relationship between our investment, earnings and dividend growth. We believe that our potential for earnings and dividend growth continues to make our company stand out as an attractive investment opportunity. The level of growth that we have delivered has enabled us to increase our earnings reinvestment rate, to generate future earnings and dividend growth, effective at making new investments in our existing operations, as well as in emerging opportunities that I'll discuss later, in further detail, just to increase shareholder value. On that note, let's look at the present and future opportunities we are pursuing. Turning to Slide 13. The service territories we operate in continue to offer significant growth opportunities. Over the last several years, we've been able to generate above average growth by extending service to large commercial and industrial customers. The expanded footprint provides follow-on opportunities for growth by converting other commercial and residential energy consumers to natural gas. These opportunities and our ability to transfer them into growth supplement our residential customer growth on Delmarva Natural Gas Distribution business, which is usually about 2%. We expect residential customer growth to continue about this pace for the next few years. In 2012, we completed 3 major expansion projects in the Delmarva Natural Gas Distribution and Transmission businesses, that together, are expected to generate approximately $1.9 million in annual gross margin in 2013 or $1.2 million in incremental margin over 2012. For 2013, we have 2 projects underway: the energy Dover power plant and the Delaware City Refinery expansion, which combined, are expected to generate between $2.9 million and $3.3 million in additional margin annually, beginning in 2014. In addition, Houston-based Calpine Corporation has also initiated construction of a new power plant in Dover. They have executed a proceeding agreement to build a lateral pipeline from Eastern Shore's mainline to Calpine's plant, which will add another $1.2 million to $1.8 million in annual margin beginning in 2015. The latter (sic) [former] will enable Calpine to transport gas from our mainline to their plant. In addition to these opportunities, our new subsidiary, Sandpiper Energy, is now successfully operating the former Eastern Shore Gas propane distribution system. We closed on this transaction at the end of May, and have been pleased with its integration. We're now offering natural gas service in Worcester County, and planning conversions of Sandpiper customers from propane to natural gas. We will assist Sandpiper customers in these conversions over time, where economic. Our Delmarva Natural Gas Distribution Transmission and Propane operations are strong and well-positioned going forward, delivering clean, reliable energy throughout the Delmarva Peninsula. We'll ensure that we can continue to deliver superior value to our customers and shareholders. Turning to Slide 14. In the Florida gas distribution operation, during 2012, we completed the Natural Gas Transmission project in Nassau County that's expected to add $1.3 million in annual gross margin. You can see this expansion on Slide 14. As mentioned, we expect to begin serving an unaffiliated utility in Florida, which we estimate will generate an annual gross margin of $840,000. In the Propane business, we acquired Glades Gas in February of 2013, and that acquisition is expected to contribute annual gross margin of approximately $1.1 million. On Slide 15, we have outlined the large, ongoing and near-term projects on Delmarva and in Florida to grow our Natural Gas Distribution and Transmission businesses. The competitive advantage of natural gas will create additional opportunities for the expanded service and to add large customers to our system. As mentioned earlier, we believe there are significant opportunities to add customers in areas where service has recently been expanded, and to add new services for existing customers. In this regard, I think it's important to point out that over the last year, we have made filings at Delaware, Maryland and Florida to offer new services that we think can add to our growth. In Delaware and Maryland, the services are related to conversion services. In Florida, we are offering a natural gas vehicle service rate to compress natural gas stations. The significance is not limited to the fact that each of these 3 filings will add growth, but more importantly, that we are continuously looking for ways to enhance our growth. In terms of our focus on the unregulated side, we have highlighted some of the opportunities before us in 2013 and beyond, on Slide 16. We have been successful in growing our unregulated earnings by making strategic, financially disciplined acquisitions, such as the recently completed Glades Gas acquisition in Florida. We will continue to seek these opportunities, as well as to continue growing through our Community Gas System strategy, both building and operating systems, as well as pursuing other profitable acquisitions, such as Eastern Shore Gas. We also believe that there will also be opportunities to grow through new start-ups in Pennsylvania and Cecil County, Maryland and through small propane acquisitions that expand our footprint. We are even starting to see conversions from oil to propane to stimulate growth in our propane operations. Given the economic environmental advantages of natural gas, like previously mentioned, we believe that there will be new opportunities for the use of natural gas, such as natural gas vehicles, which we will look at carefully to determine ways in which we might generate additional growth by serving this potential new market. We also see opportunities for natural gas pipeline expansions to meet electric generation demand and to serve combined heat and power projects, not unlike some of the projects we discussed earlier. As always, we will keep our focus on profitable growth and managing this. Turning to Slide 17. From my perspective, the key to long-term growth is to have dedicated and engaged employees that care about our customers and the communities we serve. Our employees work hard to identify growth opportunities and ultimately transform those opportunities into services in a manner that generates value to the customer and to our shareholders. The magnitude of the value-creation opportunities that we can identify and transform has a direct impact on our earnings growth rate. Our employees' dedication, engagement and their continuous improvement efforts also have a direct impact on the sustainability of that growth. One way to measure the potential impact of our capital expenditures on growth is to compare capital expenditures to our total capitalization. We target our investment rate at 13% to 15% total capitalization. The higher, the better, as long as we are disciplined and make good investments. As to discipline, we also monitor return on equity very closely to make sure that we are staying disciplined and that we are, in fact, generating value from our investments. Investing capital at a higher rate than the peer group median, and earning returns on equity above the peer group median should generate superior earnings growth. As indicated on Slide 17, when you set aside the FPU acquisition in 2009, we have been investing capital at a rate of 11.3% to 18.3% of total capitalization every year since 2004. For comparison purposes, the peer group median over this 3 years -- the last 3 years, is 10.9%. You can also see that 2012 was substantially higher than 2010 and 2011. And as Beth stated earlier, 2013 is currently forecasted to be over $123 million or 58% higher in 2012. Clearly, our level of investment continues at a higher rate than most of our peers. Turning to Slide 18, you can see that our return on equity has ranged between 11.2% and 11.6% over the last 5 years, staying above the utility allowed return on equity. The level of capital expenditures, coupled with the above average returns on equity over the last 5 years, has increased EPS from $1.94 in 2007 to $2.99 in 2012 or 54%. The bottom line is that the combination of investing higher levels of capital, while keeping higher returns on equity than the peer group median, has resulted in superior earnings growth rates. It's this rapid EPS growth that has increased our earnings retention rate or decreased our payout ratio to approximately 50%. This leaves us in the unusual position of having EPS and dividend growth rates higher than 5%. As illustrated on Slide 19, the price advantage that natural gas has enjoyed versus competing fuels has been significant, and the current forecast suggests that this will continue. This price advantage, coupled with natural gas being environmentally friendly, highly efficient domestic source of energy creates a compelling competitive advantage in the marketplace. With these advantages and our employees' efforts, we have been able to identify and develop enough opportunities to generate superior earnings growth. Turning to Slide 20. As we look at the current market conditions, we believe that the current price spread between natural gas and competing fuels, the benefits to the environment of conversion to natural gas and the abundance of domestically produced natural gas, that this is an opportune time to supplement our growth efforts by adding additional resources. On Friday, we issued a press release announcing the appointment of Jack Lewnard as Vice President of Business Development. We've also hired David De Caro and Greg Ballheim to fill positons as Directors of Strategic Development. These executives join Sergio Carrillo and Steve Davis [ph] in our Strategic Development Group. Their focus will be to support our business units in their efforts to identify and develop opportunities and to also identify and develop other opportunities in the market supplementing our growth. Now Beth and I will be happy to answer your questions. Thank you.
Operator: [Operator Instructions] Your first question is from the line of Spencer Joyce from Hilliard Lyons.
Spencer E. Joyce - Hilliard Lyons, Research Division: Bear with me here, I may jump around a little bit on you, I guess, a lot of some [ph] kind of moving around this quarter. I first wanted to touch on the addition of Dr. Lewnard and the other -- couple of other Directors there. Mike, I think you sort of touched on it towards the end of the prepared remarks, but it seems like that's adding an awful lot of firepower to just kind of do LDC kind of blocking and tackling, distribution and expansions, stuff like that. Can you give us a little color on where exactly they can add value? Is it more on the CHP or renewable side, or are they really going to be kind of core regulated gas distribution folks?
Michael P. McMasters: I guess, what we're seeing happening is a lot of the opportunities that are presenting themselves are, I'm going to say, hard to color whether regulated or unregulated. I mean, I could use natural gas vehicles as an easy example. You're going to -- on a natural gas vehicle strategy, for example. It could either be a regulated strategy or an unregulated strategy. It really depends upon the market conditions that you're seeing and the regulatory framework in that particular state. And so it's -- I think when I -- so I'm looking at the opportunities, looking forward, all right? So you'd say, "Okay, well we've had -- what kind of things in the last 2 years?" And you could see that accelerating. Something as simple as the complexity of the refinery and its growth, having some insight into -- I guess I would say more insight because we do have people here that have worked at refineries. But having some more insight into the refining operations or competitive position of the refinery, that type of thing is valuable to us. You've mentioned the CHP. As you know, the expansion to the NRG facility here in Dover is a CHP opportunity. We are seeing other smaller and large-sized CHP opportunities that these gentlemen bring experience with. In addition, we've had pipeline expansions in Florida to new service territories. Also here on Delmarva, we've also expanded our pipeline up into Pennsylvania farther a couple of years ago. And so there could be -- and we've had inquiries from potential customers for expansions beyond -- pipeline-type of expansions beyond our current territory. And so we're seeing all of these, and you could add LNG to our conversation as well. We've had questions on LNG, those types of things. So we're seeing a variety of, I'm going to say, large, more complex, again, opportunities. But they're similar, they're all natural gas-based. Usually, the client [ph] is involved. It could be CNG or LNG, coupled with that or a CHP, or electric generation plant coupled with that. But again, we're just seeing all these opportunities. Again, it's that extended forecast or in recent experience, plus extended forecast of low natural gas prices opening up doors for us to expand.
Spencer E. Joyce - Hilliard Lyons, Research Division: Yes. Okay, yes, I think the idea of expanding the talent bench as, as you mentioned, more complex opportunities come about makes a lot of sense there. You mentioned the NRG power gen and the refinery expansions. I guess, I was a little bit surprised to see that they had some gross margin impact this quarter. I wasn't expecting that until later in the year. I think I got down in the appendix and saw there was a short-term contract down there. Is that something new or have we talked about that before? And is that short term going to be the same size as maybe that longer-term contract, or could we see some more incremental margin in the year out?
Beth W. Cooper: Actually, Spencer, those short-term contracts, we've introduced those in the first quarter. But you do actually see, in the case of the NRG, the short-term contract is for the same capacity as the long-term one, which kicks in, in November. And then, in the case of the refinery, actually, it's a higher amount that's coming on, but there's some interruptible capacity that's also occurring in the meantime as well. So maybe that provides a little bit more color.
Spencer E. Joyce - Hilliard Lyons, Research Division: Yes, I think that exactly answers my question there. One last, kind of to, tie up here, congrats on getting the Sandpiper acquisition completed there. But I think having the propane there in the regulated is somewhat of a new thing for us. Can you talk about how volatile that margin may be compared to the nat gas regulated distribution that you have currently? And then, maybe what would be sort of a run rate on annual margin from Sandpiper?
Michael P. McMasters: About the volatility in the margins. See, the margin itself on a per-unit basis or a per-customer basis, should not be any more volatile than our current utilities. Basically, what we're doing, we are -- with this, I'm going to say 11,000 customers, with our effort to convert these 11,000 customers from propane to natural gas, the objective, obviously, is to do 2 things. One, save the customer some money, but also generate some earnings growth. And so with all of that in mind, we said, "Okay, let's treat it as a regulated entity. And as we displace propane, we are actually going to blend the fuel rates so the prices to the customer should be coming down as we displace propane with natural gas." And so we also would be spending capital to make these conversions. And so while we have the fuel costs coming down, we would expect our base rates or our margins, if you will, to be expanding slightly based -- more of a cost to service-based approach. So you're going to see a couple of things happening. It will be a fairly complex process over an extended period of time. So again, relatively, I mean, relatively, I'm going to say, more of utility-type of stability in margins, those have a fuel cost recovery mechanism. So these utilities-type of stabilization in margins gradually expanding, while also, our fuel costs should be coming down. Trying to think, you had, I think, a further question as well.
Spencer E. Joyce - Hilliard Lyons, Research Division: Yes, what maybe a run rate for annual gross margin on Sandpiper might be? I was actually surprised the $0.5 million there, I thought, just from late May through the end of the quarter seemed pretty large there.
Michael P. McMasters: Yes, it's 11,000 customers. And so what we're seeing right now, we've got to get -- we made the acquisition, we had looked at the annual numbers, had done some forecast and we're trying to tune those in right now. So rather than giving you a number now, let us -- we just need to get through another quarter and then we'll have it tuned in pretty well. But we're -- the margins, we felt pretty good about them in the first couple of months, and we've got some -- it's going to be typical with the propane company, we would think the fourth quarter and the first quarter will be stronger than, clearly, the second quarter or the third quarter. But they are a little bit different in that they've got a lot of commercial load, primarily, in Ocean City and West Ocean City, so they might be a little bit not quite as volatile, I'll use that word -- or seasonal, as our other businesses.
Operator: [Operator Instructions] There are no further questions at this time. Mr. McMasters, I'll turn the call back over to you.
Michael P. McMasters: Well, thanks, everybody, for taking the time out to listen to us this morning. If you have any more questions, feel free to call us, and we will try to answer them. Thank you very much.
Beth W. Cooper: Thank you.
Michael P. McMasters: Bye.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.